John Dolan: Greetings, everyone. And welcome to the PetVivo Holdings First Quarter of Fiscal 2023 Financial Results Conference Call. I am John Dolan, the Chief Business Development Officer and General Counsel at PetVivo. Today's call is being webcast and will be posted on the company's website for playback.  Before we begin, I would like to remind everyone that comments made during this conference call by PetVivo executives may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subject to risks and uncertainties.  Any statement that refers to expectations, projections or other characterizations of future events, including financial projections, or future market conditions is a forward-looking statement. PetVivo’s actual future results could differ materially from those expressed and such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. PetVivo filed its earnings release and Form 10-Q with the SEC today, which provides a detailed discussion of our financial results. These documents can be found in the SEC website and the Investor Relations section of our website.  I would like to turn the conference over to John Lai, the CEO and President of PetVivo. Please go ahead, John. 
John Lai: Thank you, John, and welcome. Joining me today is Robert Folkes, our Chief Financial Officer. I would like to begin discussing some highlights for the last quarter, then Bob Folkes will discuss our financial results and financial condition in greater detail. I will continue by sharing some of the additional thoughts from our business strategy as well as key focus areas for fiscal 2023 before we open the line up for questions.  Our key highlights for the first quarter of fiscal 2023, we entered into a exclusive distribution and sales agreement with MWI, subsidiary of AmerisourceBergen, ticker symbol ABC, which is a leading distributor of animal health products. We also have accounts now in 37 states, so that's pretty -- we're getting good coverage in the map area.  I would like to turn the call over to Robert Folkes, our Chief Financial Officer, who will discuss recently completed registered offering and our financial condition. 
Robert Folkes: Well, thank you, John, and good afternoon, everyone. At June 30, 2022, the company had $4.4 million in cash and working capital of $3.8 million. We increased our inventory to 181,000 in order to support our expected revenue growth in 2023 -- fiscal ‘23. And as John mentioned, we've opened our awareness -- the sales and marketing -- our investment in sales and marketing has been paying off with opening these accounts, and we continue to use the net proceeds from our initial public offering to expand our sales and marketing efforts, and also clinical studies to gain PetVivo acceptance and increase our revenues from the sale of Spryng.  And so now I will turn the call back to John.
John Lai: Thank you, Bob. I would like to talk more about our business strategy and key focus areas for fiscal 2023. We talked about generating clinical evidence to support the equine and small animals market, and this is more of marketing studies and not regulatory requirement. We're also going to be hiring additional sales territorial managers to support our relationship with the MWI, and we're exhibiting at multiple conferences for both small animal and equine and creating awareness forSpryng. And we have also -- have multiple influencers from the veterinary space that will be speaking at some of these major conventions.  Now, I would like to open it up for questions. Operator, can you please take over and explain the process? 
Operator: [Operator Instructions] There is already someone with their hand raised. I'm going to allow them to talk. There you go. You should be able to talk now. It's the email, gzplumtree@gmail.
John Lai: Hello. Gary, I believe that's you. Operator, maybe we should go to another one, and then come back to that one. 
Operator: Okay. It looks like you're unmuted, so let us know if you can talk. And then I don't see any other hands raised at this time. 
John Lai: We'll give him a few more seconds, because there's no one else then. 
Robert Folkes: He's unmuted. 
John Lai: Yeah, it looks like he’s unmuted. So Lily, you want to repeat the process for people calling in, just in case? 
Operator: [Operator Instructions] We do have one more question who dialed in. The number ending in 3123, you can now talk.
Gary Zwetchkenbaum: Hello. John, can you hear me? 
John Lai : Yes, I can. 
Gary Zwetchkenbaum: Great. Gary Zwetchkenbaum calling in. It is my understanding that there are several important clinical studies that are in progress. Can you give us an update on when these studies will be completed, and when the data might be made available to us? 
John Lai : Yes. Pretty much all along, we have said these studies would be catalyst for speeding up adoption of the smaller animal vets as well as the equine vets. I will turn this to John Dolan, who is our General Counsel of Development person. He has been working with [indiscernible] on the studies. John, can you take it over? John, can you take it over?
John Dolan: I can. And actually, maybe the caller might want to mute their phone. There we go. And John is correct, clinical studies and data is an incredibly large initiative for our company. We take that very seriously and we have a number of them that have already been implemented or already are started and in progress, as well as we're planning a number of them going forward in the next 12 to 18 months. This will be an ongoing thing for us and we plan to continue to do that not only for our customers, but also for our distributors.  Now, we've got two studies that are in progress right now that I can talk about. Of course, one is Colorado State University. This is a study where the principal investigator is a very well renowned veterinarian in the small animal space. His name is Felix Duerr. This study is basically set up to evaluate intra-articular injection of our product on -- in the elbows of animals that have osteoarthritis.  We're anticipating that the study will be -- we're hoping that the study will be completed in Q4 of 2023. This is a long study because we want to basically test duration of the product also. So we anticipate that by Q4 the data should be accumulated and we're anticipating sometime in Q1 of 2024 that those results will be released to the public.  We also have a study going on right now with a very well-known private -- actually, an institution that's owned by the National Veterinary Association. Ethos is the entity. And what that study is, the primary investigator is Chand Khanna, who's a well-known respected veterinarian in the United States for performing such studies. That study is to test intra-articular injections of Spryng in dogs with stifle disease.  And so we expect that study actually to have a completion date yet this year in Q3 of 2022. We anticipate though it will -- that that's the first phase of the study. The second phase we anticipate will be done before the end of the year, so that we'll have data as well as reports on this and hopefully publication by sometime in Q1 of next year. 
John Lai: And those are calendar dates, not our fiscal dates? 
John Dolan: Correct. That is correct, John. 
John Lai : Any other questions, operator? 
Operator: No other hand raised at this time. 
John Lai : Okay. Then I would conclude the call. Thank you, operator, and thanks everyone for interest in PetVivo. We remain focused on getting Spryng into the market as we can help dogs, horses with osteoarthritis. We also continue to work to develop other great products included in our OA product for felines. Again, thank you for joining us on this call today. Thank you.